Operator: Welcome to the Second Quarter 2013 Ecopetrol S.A. Earnings Conference Call. My name is Hilda, and I will be your operator for today. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Mr. Alejandro Giraldo, Director of Investor Relations officer. Mr. Giraldo, you may begin.
Alejandro Giraldo: Good morning, everyone, and welcome to Ecopetrol's Second Quarter 2013 Earnings Conference Call and Webcast. Before we begin, it is important to mention that the comments by Ecopetrol's senior management could include projections of the company's future performance. These projections do not constitute any commitment as to future results, nor do they take into account risks or uncertainties that could develop. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections on the conference call. The call will be led by Mr. Javier Gutierrez, CEO of Ecopetrol. And also participating will be Mr. Hector Manosalva, Executive VP of Upstream; Mr. Pedro Rosales, Executive VP for Downstream; Mrs. Adriana Echeverri, VP of Growth and Strategy; Mr. Camilo Marulanda, CEO of Cenit; Mr. Enrique Velasquez, VP of Exploration; and Mr. Alberto Vargas, Financial Controller. I will now turn the call to Mr. Gutierrez.
Javier Genaro Gutierrez Pemberthy: Thanks, Alejandro. Good morning to all the participants in our conference call today. Initially, we will present the highlights of the second quarter of 2013, followed by the key results of each business segment. Then we will review our financial results and the internal consolidation initiatives. Finally, we will present the outlook for the third quarter of 2013. Following the presentations, we will have a Q&A session. So let's start to Slide 5 to review our milestones in the second quarter of 2013. In the second quarter of 2013, our company continued its growing path, proving once again the strength of its strategy and resilience of the organization to face the changes in the environment, such as the lower crude oil prices that limited transport capacity, and the unrest of communities affecting the operations of some fields. Additionally, the price of our share fell, in line with the downward trend of most emerging capital markets. I highlight the following results: in exploration, we announced a discovery, Cusuco-1 in Block CPO-10 in Meta providence. Ecopetrol holds 100% interest in this block. The well produced crude oil of 13.8 grade API, with a water cut of 4%. With this, Ecopetrol added up 3 discoveries in 2013, showing an exploratory success of 75%. Also, we submitted the most competitive bids for 3 offshore blocks in the 11th round in Brazil, and we acquired 31.5% of the prospect Gunflint in the U.S. Gulf of Mexico. In production, I highlight the growth above 10% in the main fields of the Llanos region and Magdalena Valley. Regarding transport, with the signing of contracts between Cenit and Ecopetrol on April 1, we began a new era in the business model of this segment, which will bring significant benefits for our company and for the oil industry in Colombia. As a result of this new business model, we are paying higher tariffs in the main pipelines, which will be offset by the future net income and dividends from Cenit to Ecopetrol. Additionally, the regular line construction of the Oleoducto Bicentenario was completed. On refining, we had higher reliability, and we advanced in the modernization project of Reficar. That financial results were in line with increase in heavy crude production, lower oil prices and cost increases, mainly by the new transport scheme. As I mentioned, this transport model will generate higher profits and benefits for Ecopetrol. Additionally, we advanced on cost control initiatives, mainly related to what covers energy consumption, supply and maintenance of refineries. Another important development was the new loan agreement for COP 1.8 trillion, of which, COP 1.5 trillion were used for liability management purposes, substituting the previous syndicated loan obligation, extending the term by 5 years and reducing the interest rate by 1.5%. As part of this transaction, we also raised COP 284 billion to finance our investment plan. Additionally, Standard & Poor's upgraded the company's rating in international currency from BBB- to BBB. In HSE, we continued that sustained trend of improvement within the industry standards. In conclusion, I reaffirm that we maintain the goals of the year 2013, with a sustained growth dynamics, implementing the initiatives and measures to mitigate the reach of the environment and maintaining a moderate cost increase. Please move on to Slide 7 to review our CapEx in the first half of 2013. CapEx deployed in the first half of 2013 amounted to $3.2 billion, allocated as follows: 50% to production, mainly for the construction of facilities at Castilla and Chichimene fields; 30% to subsidiaries that involves resources for the modernization project of the Cartagena refinery; 10.5% to transport to be used for the San Fernando-Monterrey pipeline and projects in the mid-Magdalena region; and the remaining 9.5% to exploration, refining and other projects. Now I turn the conference to Enrique Velázquez, who will comment about the main results of our E&P segment.
Enrique Velasquez Convers: Please, let's move on next slide, which summarizes the highlights of exploration. During the second quarter, Ecopetrol completed the wildcat Cusuco-1, located in the Block CPO-10, which dated hydrocarbons and becomes the third A3 well of this year. Additionally, during the quarter, 4 stratigraphic tests and 8 appraisal wells were drilled. Hocol drilled exploratory well Godric, which by the end of the quarter was under evaluation, and also drilled 1 stratigraphic well. Regarding international activity, it is important to mention that Ecopetrol America Inc. acquired 31.5% interest of BP in the Gunflint discovery located in the U.S. Gulf of Mexico. On the other hand, Ecopetrol Oleo e Gas do Brasil participated in the 11th bid round held by the ANP in Brazil. In this bid round, we submitted the most competitive bids in the blocks POT-M-567 and Foz do Amazonas M-320 with a working interest of 100% and in the block Ceara M-715 with a working interest of 50% in association with Chevron Brasil. Let's move to next slide, which summarizes the highlights for production. During the first semester of this year, the corporate group gross production reached 785,000 barrels of oil equivalent per day. This is a 4.3% increase compared with the same period of last year. In the second quarter, the corporate group achieved a gross production of 778,000 barrels of oil equivalent per day, a 2% increase compared with the same quarter of the year 2012. It is worth to mention that even though the production decreased compared to the first quarter of the year 2015, the production is aligned with the plans set for this year. The production result was led mainly by the increase in Chichimene and Castilla fields, operated by Ecopetrol, and Rubiales and Quifa fields operated by Pallos [ph]. Now in the next slide, we will review the main results for the Transportation segment.
Unknown Executive: Thank you, Enrique. Let's start with our operating results. During the second quarter, the volumes transported increased by 3.1%, as compared to the same period of 2012, reaching 1,184,000 barrels per day, mainly due to the increase in the transported volumes by our subsidiaries Ocensa and Oleoducto de Colombia. The construction of the Phase 1 of Bicentenario pipeline had an important advance during the quarter. In addition, in line with our growth plans, we highlight the expansion by 41,000 barrels per day in Oleoducto de Colombia, starting in March 2013, growing from a capacity of 195,000 barrels per day to 236,000 barrels per day. Regarding Cenit, on April 1, the company started its operations under the new transport model of the Ecopetrol group, in which the company will focus in the operation and maintenance activities and the development of the investment plans for this segment. To regulate this activity, several agreements have been signed by Ecopetrol and Cenit, amongst which we can highlight the crude oil and product transportation, the operation and the maintenance and the project development agreements. Let's see some more facts about Cenit in the next slide. As we were pointing out, from now on, there's a clear separation in the activities executed by each company, in which the commercial and planning functions moved from Ecopetrol to Cenit, and Ecopetrol becomes, as with all other producers and distributors in the country, another kind of the oil and products pipeline under clear rules and contracts. Cenit, on the other hand, assumes the role of commercializing and planning the transportation of crude oil and products, as well as the responsibility of operating and maintaining the systems, as well as its financial and strategic management. From a financial perspective, the revenues from third parties derived from the transportation services disappear from the individual financial statements of Ecopetrol. And as a consequence of this, it starts registering a cost of transportation charge by Cenit, which are based on the transportation agreements mentioned beforehand under ship-or-pay and ship-and-pay principles and the tariffs regulated by the Ministry of Mines and Energy and the CREC. The results of this activity, which was before registered as an intersegment activity within Ecopetrol, is now registered via proceeds and dividends distributed by Cenit to Ecopetrol. Starting April 1, Cenit assumed the responsibility of managing and financing the current and future projects related to the development of the transportation infrastructure under clear profitability criteria. Finally, with the creation of Cenit, we will ensure clear market rules by separating the roles of Ecopetrol as an owner, planner, operator and user of the systems. Cenit will operate with an open model, in which all interest parties will have the possibility to access the transportation infrastructure. I now hand over to Pedro Rosales who will comment on the downstream results.
Pedro Alfonso Rosales Navarro: Thanks, Thomas [ph]. Please go to Slide #12. In the second quarter of 2013, the throughput of Barrancabermeja refinery increased by 1,600 barrels per day because lower scheduled maintenance activity than those in the same period of 2012. The throughput of Cartagena refinery decreased by 600 barrels per day compared to the second quarter of 2012 as a result of less availability of light crude oils. In Barrancabermeja refinery, gross margin for the second quarter of 2013 was lower than the previous for the same period of 2012 by USD 1.40 per barrel, due to lower gasoline and diesel deals cost by processing heavier crudes, even lower availability of light crude oil. In addition, the international crack spreads for medium conversion refineries were lower. Cartagena refinery exhibited the same trend in gross margin, with a decrease of $1.90 per barrel, due to higher cost of light and medium crude oil processed under lower international crack spreads. Regarding our Maya projects, we closed the second quarter of 2013 with 16% progress in the modernization Barrancabermeja refinery and 74% progress in the utilities master plan. The expand reached an 83% progress, discriminated by detailed engineering 100%; purchases, 99.2%; modules, 100%; and construction, which began in October 2011 is at 56.7%. It is important to mention that the operation of our refineries remained stable during the period, reaching a utilization factor of 84%. Let's see Slide 13 to review the results of the supply and marketing area. Our volumes sold increased by 50,000 barrels per day, mainly due to higher availability of crude oil volumes for both domestic and export sales. Our exports grew by 32,000 barrels per day as a result of increased production and utilization of inventory. Also, fuel oils exports increase because of a higher production in Barrancabermeja refinery as a result of the processing of heavier crude oil. In line with international price trends, the value of our basket of crude oil and products decreased. The price of our crude basket also reflects lower domestic sales prices due to weakening of the international index of fuel oil, which is the index for crudes sold in the local market as component for marine fuels. In addition, it is important to mention that the share of heavy crude oils in our export basket increased from 75% to 88% between the second quarter of 2012 and the second quarter of 2013. The main reference for our international sales was Brent with 58%, followed by Maya index with 42%. The main destination of our crude exports was the U.S. Gulf Coast. I highlight the increased sales to Asia, where we delivered 34% of the exports of crude oil and 54% of products, mainly fuel oil. Now let's go to the next slide to comment about the financial results of Ecopetrol.
Alejandro Giraldo: Thanks, Pedro. Please, let's turn to the next slide. Our total revenues rose 3.4% in the second quarter of 2013 when compared with the same period of 2012, mainly due to higher sales volume of crude oil, which offset the fall of 6.2% in the average sales price. This decrease is explained by the weakening of the international price benchmarks, Brent and Maya, as well as by the higher share of heavy crude oil in our basket. Additionally, we booked revenues from exports to India and to the U.S. Gulf of Mexico, which were in-transit at the end of the first quarter. Now let's turn to the next slide to review the main financial results in the same quarter of 2013. Our operational income decreased between the second quarter of 2012 and the same period of 2013 due to a moderate growth in our revenues compared with the increase in the sales cost. In spite of this situation, EBITDA and EBITDA margin were at similar levels as in the second quarter of 2012. It's important to emphasize that starting this quarter, the EBITDA is estimated based on net income according to the standards of the SEC. The lower net income drove the lower returns on assets and equity. However, they are still very competitive when compared to the average of the oil and gas industry. Now let's turn to the next slide to review in detail the P&L statement of Ecopetrol. As previously mentioned, our revenues grew 3.4% due to the following reasons: first, the higher sales volumes sold; and second, the positive effect of the exchange rate devaluation on exports, which offset the lower average sales price in the second quarter of this year. Regarding costs, variable costs rose by 15%, mainly due to the implementation of a new profit scheme in the Transportation segment, and the higher crop [ph] volumes of diluent and heavy crude. Starting 2013, we are paying higher tariffs in the main pipelines due to the new profit business model. However, such costs will be offset by the future dividends from Cenit. Also, we had higher cost of amortization and depletion in the second quarter of this year due to higher capitalizations and production in Rubiales, Chichimene and Quifa fields. On the other hand, fixed costs also rose 20% due to the following: first, higher contacted services of greater subsoil activity, mainly from the commerciality of the Cajua and Nare fields, water volumes management and higher bottom sediments and water cut, primarily at the Rubiales and Quifa fields; second, the rise in lease, technology and surveillance contracted services yields; third, maintenance on the transportation infrastructure, as part of the integrity program launched in 2012 and which will last until year 2016; and well workovers at the Chichimene and Castilla fields; fourth, the charge coming from the recent tax reform starting January of this year by which the value-added tax paid on the production of gasoline, diesel and asphalt, is no longer deductible and is now booked as a higher cost. Regarding the operating expenses, there was an increase mainly due to a lower recognition of income coming from previous quarters when compared with the same quarter of 2012. Operating income amounted to COP 4.9 trillion in the second quarter of this year, equivalent to an operating margin of 32%. The nonoperating result recorded a gain of COP 225 billion, mainly due to the following: first, the profit from the divestment of El Difícil, Guarimena and the Entrerríos fields, coming from the portfolio optimization initiative; second, improved results of subsidiaries accounted under the equity method, which went from a loss of COP 33 billion in the second quarter of 2012 to a profit of COP 280 billion in the second quarter of this year. Those gains offset the loss in portfolio investments during the second quarter of 2013 due to the adverse global financial market conditions. The increase in income tax expenditure in the second quarter of 2013 compared to the same quarter of 2012 is mainly due to the adjustment made in the second quarter of this year to recognize the 6 months rate of CREE tax created by the tax reform of 2012. As a result of this adjustment, the tax provision was registered at 37% in the second quarter of this year. However, the effective tax rate of the first half of 2013 is 35%. Finally, the net income amounted to COP 3.3 trillion, equivalent to a net margin of 21%. EBITDA was COP 7.3 trillion, equivalent to an EBITDA margin of 48%. Let's go now to the next slide to see more detail on the key initiatives addressed to optimize the cost of operations. Our main initiatives to control the costs are the following: in E&P, with the building of a power transmission line to the Rubiales and Quifa fields, the optimization of fluids disposal and the higher reliability and efficiency of subsoil and facility maintenance, we forecast the lifting cost by year end will range between $10.68 and $10.85 per barrel equivalent, compared to a cost of $11.53 in 2012. In refining and petrochemicals, we plan to keep advancing our strategies to optimize the cost of chemicals and catalysts with maintenance reliability and providing efficient industrial services. With these initiatives, we estimate the refining costs in 2013 to be in the range between $6.33 and $6.69 per barrel compared to $6.03 per barrel reported in 2012. On the next slide, we present Ecopetrol's cash flow and balance sheet as of June 30, 2013. The initial cash balance of the second quarter was COP 8.6 trillion. Internal cash generation and other sources added COP 16.8 trillion that funded the operation, the CapEx and the payment of dividends in a single installment to minority shareholders, as well as the first installment of ordinary dividends to the Colombian government. The ending balance of cash and cash investments was COP 4.2 trillion. Ecopetrol signed a new loan agreement for COP 1.84 trillion, of which COP 1.55 trillion were used for liability management, prepaying a syndicated loan disbursed back in 2009. With this new loan, we extended the term in 5 years and reduced the interest rate by 1.5%. Additionally, we raised COP 284 billion for financing this year's investment plan. Despite this transaction, the indebtedness during this period remained low, with a 12 months debt-to-EBITDA ratio of 0.22x. Additionally, during the second quarter of this year, S&P rose Ecopetrol's credit rating in foreign currency from BBB- to BBB. On the next slide, we have an overview of the financial results of the corporate group. Revenues of the corporate group amounted to COP 17.6 trillion, with a net income of COP 3.4 trillion. EBITDA was COP 7.5 trillion and the EBITDA margin was 43%. In the second quarter of 2013, the Transportation segment subsidiaries outperformed even that of Ocensa and Oleoducto de Colombia operated as a profit center for the entire second quarter. Reficar had a lower loss, while results of E&P companies were lower, mainly due to Ecopetrol's global energy losses and the decreased net income of Hocol. The higher revenues without eliminations came from Reficar with COP 1.9 trillion, followed by Cenit with COP 636 billion. The higher EBITDA, net of noncontrolling interest, came from Ocensa with COP 423 billion, followed by Cenit with COP 397 billion. The higher net income came from Ocensa with COP 370 billion, Cenit with COP 289 billion and Equion with COP 190 billion. On the other hand, the bigger losses were reported by Ecopetrol Oleo e Gas do Brasil with COP 112 billion, Ecopetrol America with COP 84 billion, and Reficar with COP 46 billion. Now I will turn the presentation back to Mr. Gutierrez who will comment on the milestones in the internal consolidation and the corporate social responsibility.
Javier Genaro Gutierrez Pemberthy: Thank you. Please go to the next slide. The accident frequency rate in the second quarter of 2013 was 0.72 accidents per million working hours, a remarkable 14% lower than in the same quarter of the last year. We also reduced the number of environmental incidents from operational causes, falling from 11 in the second quarter of 2012 to 5 in the same quarter of 2013. Finally, during the second quarter of 2013, we were awarded 2 patents, one in Colombia and one in Mexico, which amounted to 4 industrial property rights to Ecopetrol in 2013. Additionally, it is worth to highlight that public hearing in the city of Pereira attended by more than 1,200 people, as well as meetings with stakeholders in 10 municipalities in Colombia. Now we will present the outlook for the third quarter of 2013. Please go to the next slide. In exploration, Ecopetrol will drill 3 exploratory and 5 stratigraphic wells. Internationally, 1 A3 and 1 A1 wells will be drilled. Regarding production, we will continue with our development plans in order to reach the 2013 target. About Refining, we will keep the pace of the construction in the modernization project of Cartagena to achieve above 70% advance in this part of the project at the end of the third quarter. Also, in the Barrancabermeja refinery, our revamping of the new 250 crude unit will be made, causing a scheduled turnaround of 84 days in this plant. In Transportation, we expect to start the operation and the line fill of Oleoducto Bicentenario in the third quarter. Also, capacity of Oleoducto Transandino will be increased by 25,000 barrels per day. In summary, in spite of difficulties, we expect to move forward on a good pace in the delivering of our key projects to accomplish the goals of the year 2013. Now I open the session to questions from our participants.
Operator: [Operator Instructions] We have a question from Frank McGann from Bank of America.
Frank J. McGann - BofA Merrill Lynch, Research Division: In terms of production, and I know you've confirmed your targets for the year, but just -- I was wondering how much higher would production potentially have been in the second quarter, if you had not had any disruptions on pipelines? And if -- following on that, if you had -- if you were to have no disruptions at all, is it possible that the target for the full year could potentially be higher? And if I can get to that one question, then I would just -- I was just wondering, in terms of the community interest in production in the future or the way the royalty structure has been -- your distribution has changed. I know that has no direct effect and you, but my understanding from talking to other companies is that the interest in oil developments going forward is going to be interest -- the community interest may not have any direct impact in terms of royalties, but there may be certain requirements or negotiated interest in projects going forward that may end up having some effect on company finances, and I don't know if that would directly affect Ecopetrol itself, but I was wondering if you might be seeing greater requirements that are being -- or commitments being asked for education or for hospitals or roads or whatever it might be that might affect finances going forward.
Javier Genaro Gutierrez Pemberthy: Thank you, Frank. In relation with the production, we keep our projection of 798,000 barrels per day, basically, yes. It's our equivalent numbers. In relation with the impact of the new distribution of the royalties law, yes, you're right. But in that sense, it's very much important to mention that in most of the places in which we are operating, we have been trying to deliver truthful relation with the communities, for us, is very much important, the relation and the fulfillment of our commitments with the different group of interest. And additionally, maybe you have note, I am absolutely sure, that we have been increasing our investment -- our social investment, but our relation with the communities are mainly supported in the daily current relations with the committees, also with the local authorities. But at the same time, we are conscious that we must work to try to help the communities to manage the impact of the new distribution of the royalties law in the revenues for the communities in the regions in which we have the production because they are going to receive less money than in the past. But we are not going to replace the government in that sense. Indeed, we are going to replace the money that was generated in the previous conditions, but -- anyway, we continue with the plans we have in the past. For example, maybe in [indiscernible], our investment in the last year in terms of the social investment was around $160 million. In pesos, the number was COP 3,004 -- excuse me, COP 304,000 million. That is more or less equivalent to $160 million, and we are mainly concentrated in basically 3 lines: we dedicate resources in a priority of education and culture; and second to the productive projects, but also to the infrastructure like roads, public services, for example; and finally, we also dedicate some resources to the strengthening of the institutionality in the different places in which we are developing our operations. Additionally, maybe it is important to mention that as part of the activities of our Board of Directors, we have been developing multi-meetings with the states or departamentos, how we how we say it in the organization of the country, that are coordinated by the member of our Board of Directors, Jamil Caracosta -- that is the representative of the states in the Board of Directors, in which we have been called in 18 with them, different projects, different plans. And additionally, we have dedicated some resources to -- for the maturity of some of the initiatives that the different states have, in line to obtain resources from the royalties funds in the different regions of the country. This is the way which we have been working after the approval, the application, implementation of the new distribution, royalties law. That is the way in which we have been acting in that sense. I don't know if you have any additional requirement in that line -- or I don't know if one of my colleagues want to mention anything about. Okay.
Operator: We have Paula Kovarsky from Itaú BBA.
Paula Kovarsky - Itaú Corretora de Valores S.A., Research Division: I have a couple of questions here. The first one is a quick follow-up on the previous question. So if you could just share with us what was the impact of the unrest in communities and the effects to pipelines to this quarter's production number? And then following up on that as well, I was just working the numbers here, and for you to be able to deliver the 798,000 barrels a day production guidance, production in the second half of 2013 would have to grow something like 16% over the first half. So if you could, again, perhaps share with us where or from which fields do you believe this production growth may come? And the other question relates to the lifting costs, which went up significantly compared to the previous quarter and probably -- I mean, it looks like lifting costs went up more than the drop, the relative drop in production. So if you could also detail a little bit more what happened to the cost and how exactly do you intend to lower those numbers in the coming quarters?
Javier Genaro Gutierrez Pemberthy: Thank you, Paula. Okay. I'm going to present the numbers of the impact of the different -- the internal pipelines in the production. Please, yes -- Alberto, he's going to refer? Yes, this one. What was the impact of the attacks on the pipelines in the social events, please? Okay. Okay, yes. What are -- which are the impact in the production, yes, during the...
Alberto Vargas: Okay. Paula, thank you for question. The impact on the attacks on pipelines for the second quarter meant 8.3 kbpd, actually less production compared with what we have forecasted. It means like 1.5 kbls in total. That's the number.
Unknown Executive: Social issues?
Alberto Vargas: And also, for social issues, the impact was 12.5 kbpds.
Javier Genaro Gutierrez Pemberthy: You want to mention -- okay. Yes, okay. Enrique Velasquez is going to refer to the production, what are the rules that we expect to increase the production. Enrique?
Enrique Velasquez Convers: Paula, regarding your second question, which fields will allow us to meet the goal for outside that Rubiales, Castilla, Chichimene, Guajira -- I mean, that's equivalent, and Quifa, those are the fields which will be responsible in order to maintain the production and meet the goal. There are some not as big as the ones that I mentioned, but also are important, and I would like to mention a couple of them. One is Casabe and the other one is [indiscernible]. Let me put it in context to you in order to have your numbers. For instance, Rubiales. Rubiales production for the second quarter, our actual numbers is 121,000 barrels per day. And Castilla, the real number -- the actual number is 114,000. And we respect to produce 122,000 barrels per day. Chichimene. Chichimene actual number for second quarter is around 49,700 barrels per day, and we expect to produce 71,000 barrels of oil per day. So in that sense, you can see that those increase are important, and with those numbers, we can achieve the goal.
Alejandro Giraldo: Paula, this is Alejandro. I'm going to take the question #3 on lifting cost. So first of all, the key consideration that definitely the driver for increase in lifting cost has been the higher production of heavy crudes. 12 months ago, the share of heavy crudes was 50% of our total production. Currently, we're talking about 57%. This is a continuing trend, and of course, it's having an effect on cost. Specifically, the drivers for the higher costs are 3: number one is the management and the disposal of water; number 2 are the well workovers; and number 3 is wing cut profit class under contract. Basically, that explains $1 increase in the lifting cost compared to last year. Now going forward, as we mentioned in the report, we have cost control initiatives, specifically for E&P. And to give you some guidance for this year, we expect we should be in the range of $10.60 to $10.80 per barrel, given the initiatives we have in maintenance of wells, as well as infrastructure, electrical -- electricity consumption and number three is everything related to operations. So we should be in that range of $10.60 to $10.80. Anyway, keep in mind, as Adriana mentioned in the Spanish call, the lifting cost of Ecopetrol continues to be, I would say, in line or even low compared to peers similar to Ecopetrol.
Operator: The next question comes from Christian Audi from Santander.
Christian Audi - Santander, Equity Research: Just a follow-up, maybe Alejandro on the cost -- on the topic of cost. You just talked about lifting cost, but can you share your expectations also in terms of Refining and Transportation cost outlook, what you had in the second quarter versus what you expect for the second half of the year?
Alejandro Giraldo: Okay. In terms of -- Christian, and do you have any other question or only the lifting cost?
Christian Audi - Santander, Equity Research: So in terms of production, how is the environmental license process going? Did you feel any improvement in the second quarter versus the first? Or is it the same? And what's the outlook? And then lastly, Barrancabermeja has been moving up quite a lot, and you have your [indiscernible]. So in the commercial strategy, are you seeing anything relating, linked to your conference guide [indiscernible] recent months or not? How should we expect the spread between...
Alejandro Giraldo: Christian, I think we lost you on the line. Could you please repeat question #2 and #3?
Christian Audi - Santander, Equity Research: Okay. So in terms of production growth, can you give us an update in terms of the environmental license situation? Has it improved, worsen or stayed the same in the second quarter versus the first? Then what's your outlook? The other has to do with your commercial strategy. WTI prices have been moving up quite a lot and your contracts are linked to Brent, are you doing anything differently from a commercial point of view to try to take advantage of this move in WTI? And if so, what's your expectation of spreads between your prices and WTI prices or Brent prices for the remainder of the year versus what you had in the second quarter?
Alejandro Giraldo: Okay. So I'll take the question on cost of transportation. Pedro Rosales will take the question on refining cost and...
Javier Genaro Gutierrez Pemberthy: Environmental. I'll take environmental.
Alejandro Giraldo: Okay. And Mr. Gutierrez will take the question on environmental and also, Pedro Rosales will take the question on the commercial strategy linked to WTI pricing. So in terms of cost of Transportation, we should see levels of between $4 to $5 per barrel for the next -- for second half of the year, considering and taking into account the new change in tariffs starting this year. So keep in mind that last year, basically, our costs were basically based on the cost sharing scheme. Starting this year, now Transportation operates as a profit-generation center. This explains mainly the increase in cost. And now Pedro Rosales will take the question on Refining costs.
Pedro Alfonso Rosales Navarro: Okay, and thank you. Christian, for Refining costs, we had an increase in fixed costs in Refining as a result of stocks formally made in December 2012 that applies since 2013 onwards in the treatment of the VIP who, in this year, cannot be discounted in the purchases made for the production process. This has an effect in the segment in the first half of about COP 75 billion. That's an effect that will remain because the reform is for the full year, yes. That's the case. And if you exclude this effect, then there costs remained stable in Refining. We don't have an increase in the cost of our segment. About what Ecopetrol is doing about our commercial strategy, Ecopetrol asked price proposals result to different international benchmarks in order to price its exports. In general, the criteria used when selecting the proposals are based on the best price for Ecopetrol, no matter the index used. Those indexes depend on the reuse where the volumes are exported, the liquidity and transparency of the index have capacity to reflect demand and offer issues at a global level. When you compare it in the second quarter 2013 with the same period in 2012, the capital has included 2 indexes in its export price basket by applying this, again, in Europe, those being benchmarks of heavy crude different to U.S. Gulf Coast. You see these 2 quotes reflect the strategy of diversifying the automations, and it allows Ecopetrol to reflect in a their own way, the particular performance of the Asian and European markets in the negotiation. This provides additional into our client confidence, and that the most liquid benchmarks of the regions are being used. On the other hand, the Brent and Maya U.S. Gulf Coast continue to have the dominant participation in our basket.
Javier Genaro Gutierrez Pemberthy: Right now we are having a better perspective in terms of the environmental process for exploration and also for exploitation in both areas. Right now, we have better perspective than in the past year. In particular, in line with the production, basically, we are expecting with our associates, Pacific Rubiales, the modification in the environmental plan for the increase of the water management for the injection. That, if we don't obtain in the next month maybe, it could affect the production. But we are not expecting impact in our fields in our own production. Right now, we have all the permits that we need to guarantee the production in our own fields. Basically, the risk that we still have is in relation with the modification of the license for the injection in the case of the Pacific Rubiales. This is basically the situation right now in terms of the production and exploitation.
Operator: Our next question comes from Anish Kapadia from Tudor, Pickering, Holt.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: I've got a question on -- and just going back to the Rubiales field. I wanted to see what your outlook is for production this year and over the next 5 years or so?
Javier Genaro Gutierrez Pemberthy: Enrique Velasquez? He'll take the question about the production of Rubiales for this year and the next 5 years. Okay, Enrique, please?
Enrique Velasquez Convers: Anish, regarding your question, we expect the Rubiales field will keep a steady production around 120,000 barrels per day. I would like to mention that the primary recognition for this field is quite large, so we have to work very hard in order to maintain this production at this present level.
Operator: Our next question comes from Gustavo Gattass from BTG.
Gustavo Gattass - Banco BTG Pactual S.A., Research Division: I have a couple of questions here. The first one, I wanted to just touch on, had to do with reserves and your exploration program. I was just wondering, we've had a lot of demands, discussions and explicit desire from the company to increase reserves. And looking at what you're planning to do for this year and looking at the message that has been put out on A2 and A3 wells, it does seem that it has been a less active exploration year than we've seen in the past. I just wanted to get a feel for you guys with regards to how you're seeing your exploration efforts and the potential to really recoup reserves by the end of the year? That would be question #1. The second one, I actually wanted to start with just a thank you note for you guys for breaking out for us the consolidated numbers by business division. I think that will help a lot down the term. But I was wondering if we could have the first quarter numbers under the same breakdown, as opposed to just only the first half and if that's something you guys could effectively get us in the future?
Javier Genaro Gutierrez Pemberthy: Thank you, Gustavo. And Enrique Velázquez is going to refer to the exploration program for this year.
Enrique Velasquez Convers: Gustavo, we already got 15 out of 20 environmental license in order to complete our plan, which is to do 20 wire cuts. So in that sense, we feel pretty comfortable to drill the wells that we program. Regarding your question in connection with how exploration way were incorporating reserves, I would like to mention that our plan for DG [ph] is to get commerciality for their discoveries, Caño Limón, as well as -- excuse me, as well as Akacias. We plan to get it by maybe third quarter of this year. So our other initiative are no less important is try to appraise the discoveries that we got this year. As you are aware, we have drilled 4 wells, 3 of them are tested hydrocarbons, most of them the CPO-10 and CPO-11. So the plan is to appraise those discoveries in order to speed up the process to incorporate reserves through the exploration program.
Javier Genaro Gutierrez Pemberthy: But in relation to reserves, Enrique, maybe it's important to mention additionally that the main part of our reserves this year are coming from our development plans. Maybe you can refer to it to have a complete view in terms of the reserves this year.
Enrique Velasquez Convers: Okay. Let me elaborate a little more regarding the other way to incorporate -- to increase our recovery factor. We will continue in implementing our infill drilling in Akacias. And also, are you aware? We are running some pilots in differing oil fields. So we will keep the plan for infill drilling, as well as for well injection, which are the more outstanding activities for production. So as Javier Gutierrez says, we keep our plan in order to incorporate reserves from the liquidity factor activity.
Javier Genaro Gutierrez Pemberthy: And in relation with the consolidated information for the first quarter, please, Alberto.
Alberto Vargas: Okay, thank you. Thank you, Gustavo, for your question. Yes, we can, indeed, of course, we can produce broken figures by quarter consolidated. So that's going to take us like from a week to 10 days and we will put it on the web page. So count on that, okay?
Operator: Our next question comes from Felipe Santos from JPMorgan.
Caio M. Carvalhal - JP Morgan Chase & Co, Research Division: This is actually Caio Carvalhal. I had a couple of questions here. One of them is trying to understand a little bit the relation between crude production and sales volume. If you look in the Slide 16 of the presentation and also in the historical figures, we see that production and sales follows more or less the same trend. I know that, of course, the sales volume includes a couple of other things like third-party sales and then -- and royalties and these kind of things. But my basic question, that I see that was a big disruption in the second quarter, where we saw sales volume increasing by 8% while your production decreased by 2%. I know that there are couple of factors impacting this. My question on that is specifically, on the role of inventory variation. How big was inventory variation in this difference? And if we could expect the next quarter to have some correction? What I mean is basically, if we could expect a lower sales volume in relation to production in the third quarter, so that's my first question. My second question is a sort of a follow-up of the last question from Gustavo, which is basically related to the enhanced oil recovery extracting that you're doing. I believe that you are doing a pilot in Chichimene -- I mean, like a test in Chichimene. I just want to have a little more clarity in terms of some results, at least technological results, in terms of how could be the improvement in the recoverable factor in the average? I think that the overall average, our recoverable factor in Ecopetrol fields is something in the range of 17%, 18%. Please correct me if I'm wrong. And I would like to know when we would be able to have an idea of how could be the improvement on this percentage? And these are my questions.
Javier Genaro Gutierrez Pemberthy: Thank you, Felipe -- Caio. Felipe -- Caio, Pedro Rosales is going to refer to the relation between crude production and the sales and which -- the percent of variation in the second quarter -- yes, what we can expect in the next quarters.
Pedro Alfonso Rosales Navarro: Okay. Thank you, Caio for the question. About the sales volume, as you can see in our figures, we divide that sales in 2 main blocks: one the national sales and the other export sales and other sales. About that, as you can see, our volumes increased between 5.6% on the second quarter plus here. And the impact, as you can see in the figures, is mainly in the national sales. We increased the sales this year. Let me take the figures. The sales in volumes increased 10 point -- 26.3 barrels -- 26.3 thousand barrels per day, and in export, 32.1 thousand barrels per day. So [indiscernible] on this decreased cost was mentioned from the value-added tax the availability of crude for the Cartagena family this year. That is the main aspect in the sales in this period. About their inventories, what happened in this period was that, we sold more volume from our inventories, and that helps to increase the sales above the production. Additionally, you can demonstrate into account that we purchased crudes and this activity delineate -- is less this year. And then the sales from purchases was reduced compared with the previous period. Then the 3 main aspects, in summary, is that we used our inventory to increase the sales above the volumes [indiscernible]. Additionally, we have less purchases and less sales considered in that aspect. Inventory difference valuation between both quarters was 1.5 billion barrels.
Javier Genaro Gutierrez Pemberthy: In relation with recovery factor levels, Enrique is going to refer to.
Enrique Velasquez Convers: Caio, bonjour! About your question about our strategy, status, let me explain to you what's going on. In the Quifa start, as you are aware, in last February we started with the ignition of the reservoir. We will see results, no -- I mean, not earlier than the third quarter of next year, 2014. And regarding the chemicals in San Francisco, Dina and Tello, we started the injection of chemicals by October of this year. In the Chichimene EOR pilot, we already drilled the wells, and now we are building up the infrastructure in order to start the pilot. For one injection, we started the different well injection programs in different fields, maybe they are most important in our Chichimene, Llanito, Apiay, Bonanza, and we plan by the last quarter of this year to -- or starting well injection in Provincia, which is located in the middle Magdalena Valley, and Tondalo Ambricos [ph], those wells -- those fields are in the upper Magdalena Valley. Regarding your question about an increase in recovery factor, let me tell you that the rigs are all in place [indiscernible] now is higher so the recovery factor of 18 will remain in the same figure. We will release information as soon as we see the results from the different initiatives that I mentioned to you.
Operator: At this moment, we have no further questions in queue. I would like to turn the meeting back over to Mr. Giraldo for any closing remarks.
Alejandro Giraldo: Thank you, all, for your participation. For any additional questions, you can contact us at the Investor Relations, and have a good day. Bye. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.